Operator: Good evening. Welcome to the IDT Corporation's Fourth Quarter and Full Fiscal Year 2025 Earnings Conference Call. [Operator Instructions] Please note, this conference call is being recorded. I will now turn the call over to Bill Ulrey of IDT Investor Relations. Bill, you may begin.
Bill Ulrey: Thank you, John. In today's presentation, IDT's Chief Executive Officer, Shmuel Jonas; and Chief Financial Officer, Marcelo Fischer, will discuss IDT's financial and operational results for the 3- and 12-month periods ended July 31, 2025. After their remarks, they will be happy to take your questions. Any forward-looking statements made during this conference call, either in their remarks or during the Q&A that follows, whether general or specific in nature, are subject to risks and uncertainties that may cause actual results to differ materially from those which the company anticipates. These risks and uncertainties include, but are not limited to, specific risks and uncertainties discussed in the reports that IDT files periodically with the SEC. IDT assumes no obligation either to update any forward-looking statements that they have made or may make or to update the factors that may cause actual results to differ materially from those that they forecast. In their presentation or in the Q&A session, IDT's management may make reference to non-GAAP measures, including adjusted EBITDA, non-GAAP net income, non-GAAP earnings per share, NRS's Rule of 40 score and adjusted net cash provided by operating activities. Schedules provided in the IDT earnings release reconcile these non-GAAP measures to their nearest corresponding GAAP measures. Please note that the IDT earnings release is available on the Investor Relations page of the IDT Corporation website. The earnings release has also been filed on a Form 8-K with the SEC. Now I'll turn the call over to Shmuel for his comments on the quarter's results.
Samuel Jonas: Thank you, Bill. IDT's fourth quarter capped off a strong fiscal year, highlighted by full year double-digit adjusted EBITDA expansion at each of our operating segments, combining to drive a 43% increase in consolidated adjusted EBITDA to a record $129 million. At NRS, merchant services and SaaS fee revenue drove the top line growth, while NRS operating leverage continued to contribute to net margin expansion. In fiscal 2026, we expect that merchant services and SaaS fee revenue will again drive significant increases in revenue per terminal and adjusted EBITDA. Also at NRS, we continue to work on several early-stage initiatives that, true to our mission, will help our retailers to prosper. In fiscal 2025, we began to integrate select retailers with DoorDash. Our retailers are thrilled by the new orders DoorDash is bringing to them. Building on this success, we are preparing to begin integrations with another large delivery service. NRS's data business, NRS Insights just signed a deal with one of the largest coupon providers in the country. Once this deal is launched in calendar year 2026, our retailers will be able to offer digital coupons to their customers, helping their customers to save money while opening a new channel for our brand partners to engage with customers. BOSS Money's fourth quarter and full year results reflected strong digital channel expansion, which is now contributing over 80% of our remittance volume. The industry-wide customer-led migration from retail to digital provides us a large opportunity. In the year ahead, we expect to continue to build market share by increasing our marketing and cross-marketing efforts within the larger BOSS ecosystem, while also expanding our reach through our integration with WhatsApp and deployment of a cross-border digital wallet. In our digital channel, the amount of cash our customers sent increased by 41% in the fourth quarter, while transactions increased 34%. Customers are spending larger amounts in fewer transactions. Last quarter, I mentioned that we would adapt our pricing to capture more of the upside, and we have begun to do that, removing some discounts for larger transactions. In our back office, our efforts to leverage machine learning and AI to reduce costs and improve the customer experience have been very successful, and we will continue to invest in AI-driven efforts to improve our remittance services and many other areas as well. At net2phone, we are very excited by the potential we see in the marketplace of AI agentic offerings and the progress we have made to date in developing and deploying these solutions. Already, approximately 1 in 10 of our sales conversations includes an AI agent, and we have successfully sold and launched hundreds of agents already. Keep in mind that our argentic AI program is still in the warm-up stage. We are -- we are not playing ball yet, but when we do, we expect to win a lot. As it becomes a key driver of net2phone's growth, our revenue model will gradually shift from a seat-based model to one based on usage that we expect will generate significant revenues at high margins. In fiscal 2026, we will focus on building out net2phone's AI Agent and Coach product, our data-driven coaching agent, and deploying tailored solutions for specific industry verticals, including offerings for hospitality and medical operators. With this investment, we believe that by year-end, 30% or more of our sales will include one or both of these, even as we continue to steadily expand our base of UCaaS and CCaaS customers. To that last point, we have already picked up momentum with several large contact center wins to start the new fiscal year. In our Traditional Communications segment, IDT Digital Payments business and BOSS calling both continue to benefit from our efforts to streamline operating costs, which is helping us expand margins. Meanwhile, we continue to operate BOSS calling and IDT Global, both of which participate in the international long-distance minutes business, for maximum cash flow efficiency. Across IDT, we expect to build on the considerable progress we made during fiscal 2025 with top line growth and stronger cash generation. In all our markets, consumer attitudes, government policy and/or technology are driving rapid change, and we are working hard to capitalize on the exciting opportunities in each of our growth businesses. Backed by the cash on our balance sheet and strengthening financial performance, we will continue returning cash to our stockholders through opportunistic buybacks and our quarterly dividend. We will also continue to evaluate potential acquisitions. Our conservative approach to M&A had led to some almost acquisitions, but we won't pursue deals at prices that don't make sense. I am very excited about the potential for fiscal year 2026 because every day, I see how enthusiastic our customers are about our services, whether they are NRS retailers expanding their businesses, hard-working customers supporting their families through BOSS Money and calling home, or businesses relying on net2phone to improve their business, please customers and operate more leanly and intelligently with services like Coach that we offer them. Our ability to continue to outperform depends, of course, on the commitment and hard work of our employees around the globe who have been nothing short of amazing. Their expertise and professionalism power everything we do. Each day, I am first and foremost grateful to them. And to you, our stockholders, thank you for your continued support and guidance. We look forward to reporting to you on our progress in the fiscal year ahead. Thank you. Now I will pass the call over to Marcelo.
Marcelo Fischer: Thank you, Shmuel. As always, my remarks on our fourth quarter and full fiscal year '25 results will focus on the year-over-year comparisons to set aside seasonal impacts on our business. Our fourth quarter extended the strong year-over-year growth trajectory that we have followed throughout the fiscal year. Full year adjusted EBITDA totaled $128.7 million, surpassing our updated $126 million guidance. IDT increased consolidated revenue in Q4 by 3% as our three high-margin growth segments, namely NRS, Fintech and net2phone, continue to expand their top lines. Collectively, these fast-growing segments contributed 31% of total revenue in the fourth quarter compared to 27% a year earlier. IDT's fiscal 2025 revenue increased 2%, and that's the first full year increase since 2021 and represent a significant inflection point, signaling the start of what we expect will become a long-term trend of sustained revenue growth as the increasing revenue from our growth businesses more than offset the continued declines in revenue from our two ILD voice businesses. Each of our four reporting segments, including Traditional Communications, increased their gross profit contribution for both the fourth quarter and full year with our consolidated gross margins increasing 310 and 380 basis points, respectively. These increases reflect the continued expansion of our high-margin segments and in the Traditional Communications segment, the increased contribution from our digital payments and IDT Global wholesale carrier businesses. Consolidated income from operations increased 9% to $21.9 million in the fourth quarter, and increased 55% to $100.4 million for the full year. Adjusted EBITDA increased 33% to $33.4 million in Q4, and increased 43% to $128.7 million for the full year. These increases were driven by the operational leverage of our three high-margin growth segments, which together generated over 50% of our consolidated adjusted EBITDA for the first time, and in the Traditional Communications segment by significant reduction in OpEx and improved margins on our mobile top-up offerings within our IDT Digital Payments business. At NRS, income from operations in the fourth quarter decreased 3% to $5.8 million, reflecting the impact of nonrecurring expenses, while adjusted EBITDA increased 32% to $9.3 million. For the full fiscal year, income from operations at NRS increased 28% to $27.8 million, and adjusted EBITDA increased 37% to $34.2 million. Recurring revenue increased 22% in the fourth quarter to $32.6 million, and increased 27% to $122.6 million for the full year. These increases were powered by merchant services and SaaS fees revenue growth, both of which exceeded 30%. Advertising and data revenue decreased 8% year-over-year in Q4, and was roughly unchanged for the full year. We have now fully worked through the impact of the loss of a programmatic advertising partner and look forward to returning NRS advertising revenue once again into growth mode. A significant part of NRS's growth story has been the increase in monthly average recurring revenue per terminal, which reached $299 in the fourth quarter. Recurring revenue per terminal has benefited from increased penetration of our NRS Pay offering, from our work to provide retailers with premium payment processing plans and SaaS plans and from the ongoing migration of consumers in general from cash to credit and debit card payment methods. We expect to drive continued strong gains in recurring revenue per terminal. And as such, we believe this will help us sustain revenue growth in fiscal 2026 of 20% to 25%, and adjusted EBITDA growth at an even faster clip. In our Fintech segment, income from operations increased 88% to $4.8 million in the fourth quarter, and adjusted EBITDA climbed over threefold to $5.5 million. For the full fiscal year 2024, Fintech generated a loss from operations of $100,000. But now in fiscal 2025, income from operations surged to $15.4 million. Adjusted EBITDA increased over 16-fold from just $1.1 million in fiscal '24 to $18.4 million in fiscal '25. We have long said that our BOSS Money international remittance business could scale to achieve adjusted EBITDA margins comparable to industry peers in the 15% to 20% range. And in the fourth quarter, for the very first time, it did enter that range when viewed on a stand-alone basis. Fourth quarter remittance transactions surpassed an annual run rate of $26 million with digital transactions contributing 83% of all remittances. The rate of transaction growth slowed somewhat, as our customers sent more money per transaction while cutting back on the frequency of those transactions. Digital transactions increased 28% in the fourth quarter, while the related dollars sent increased by 41%. As Shmuel mentioned, we have recently introduced fee pricing initiatives that will help capture more of the sent volume growth upside. As those of you who follow the remittance space already know, a new 1% federal tax on remittances originated with cash or money orders is scheduled to go into effect on January 1, '26. We expect that the effect of the tax will result in an acceleration of the industry-wide migration of remittance transactions to the digital channel, which is effectively exempted from this new tax, since customers must use a debit or credit card or ACH to effectuate a digital channel transaction. The migration from retail to digital channel has been a key driver of BOSS Money's increasing profitability over the past few years, as digital transactions generate approximately 20% more in gross profit per transaction than retail with lower overhead. For fiscal 2026, we are budgeting BOSS Money revenue and adjusted EBITDA to grow at percentage rates in the high teens, as we continue to win share from retail-centric providers. Adjusted EBITDA for the broader Fintech segment is also expected to benefit from bottom line improvement in our Gibraltar-based bank operations and in other early-stage Fintech initiatives. Now moving to net2phone. In fiscal '25, net2phone continued its steady growth trajectory. Income from operations increased 74% to $1.5 million in the fourth quarter, while adjusted EBITDA increased 42% to $3.5 million. For the full year '25, net2phone's income from operations increased 194% to $4.9 million. And adjusted EBITDA increased 54% to $12.1 million. net2phone subscription revenue increased 8% to $22.2 million in the fourth quarter on strong revenue growth achieved in the U.S. On a constant currency basis, the rate of increase was slightly higher at 9%. For the full 2025 year, the strengthening dollar FX translation impacted financial results from our key South American markets, muting the positive impacts of continued seat growth there. For the full year, total net2phone subscription revenue increased 9% to $85.7 million. And in constant currency terms, the revenue increase was 12%. During Q4, net2phone continued its disciplined approach towards customer acquisition spending and fixed overhead cost management. As they did in Q3, the net2phone team was able to hold total SG&A spend year-over-year, almost unchanged again this quarter, even while continuing to grow revenue. Looking ahead to 2026, we are budgeting for a lift in top line growth, based on sales of net2phone's AI Agent layered on our UCaaS and CCaaS offerings. However, we also plan to significantly increase our investment, both in net2phone Coach product development and in tailored agentic AI offerings for specific marketing opportunities. As a result, net2phone's adjusted EBITDA percentage growth rate in fiscal 2026 is budgeted to increase more slowly than revenue, in the high single digits. And we expect these investments to significantly drive profitability in years ahead. At our Traditional Communications segment, gross profit in the fourth quarter increased 2% year-over-year, powered by IDT Digital Payments and supported by strong results from our IDT Global wholesale carrier business. SG&A expense decreased 1% year-over-year in the fourth quarter, and decreased 6% or $5 million for the full year as we benefited from cost-cutting initiatives previously implemented. Likewise, technology and development expense decreased 5% for the fourth quarter, and 7% for the full year, as a result of streamlining efforts. All these cost reductions, in combination with higher gross margins realized by our IDT Digital Payments business helped drive an 11% increase in income from operations to $15.4 million, and an 8% increase in adjusted EBITDA to $17.6 million in the fourth quarter. For the whole fiscal 2025, income from operations increased 18% to $66.5 million, and adjusted EBITDA increased 13% to $75 million. In 2026, we do not expect that either of the above factors will be meaningfully in play. And therefore, we expect that steady growth in our IDT Digital Payments business will be offset by the expected declines of our BOSS Revolution Calling and IDT Global businesses. As such, we have assumed in our budget that Traditional Communications' gross profit and adjusted EBITDA will both decline single-digit percentage rates this year. In terms of our financial condition, at July 31, our balance sheet, a measure of cash, cash equivalents and current investments, increased $30 million from April 30 to $254 million, reflecting the strong cash generation from all four of our reporting segments. I'll wrap up with a brief comment on capital allocation. Unlike in most recent periods, IDT did not repurchase any of its shares on the open market in the fourth quarter nor for most of Q3. During that entire period, IDT was very actively pursuing a highly accretive merger-acquisition opportunity of a sizable competitor of one of our growth businesses. Our acquisition bid, had it been accepted, would have entailed utilizing significant available cash and also adding substantial leverage to our balance sheet. Consequently, we refrained from repurchasing shares in order to further build our cash position. Ultimately, this opportunity did not come to fruition. Historically, we take an opportunistic approach to share buybacks, repurchasing more heavily during share price dips that we determined to be macro driven. I expect that unless other sizable M&A opportunities come our way, we will continue to employ this approach towards repurchases in this new fiscal year, even as we continue to build our balance sheet and pay a quarterly dividend. Now turning to our consolidated financial outlook for fiscal 2026. I want to begin by noting that beginning with our Q1 FY '26 earnings, we will report a revised measure of our non-GAAP adjusted EBITDA metric. To make our measure of adjusted EBITDA more directly comparable to those reported by our peers and to more closely reflect our cash flow generation, we will exclude noncash compensation expense from the determination of adjusted EBITDA going forward, and we will adjust prior period figures to the new measure for comparison purposes. Noncash comp varies from year-to-year, depending on the timing of equity grants through our employee equity growth plan and specific management incentive awards. Over the past 4 years, noncash comp averaged $4.2 million with a high of $7.4 million in fiscal '24, and a low of $1.9 million in fiscal '22. In fiscal '25, just ended, noncash comp totaled $3.1 million. In our earnings release, we provide a reconciliation of our revised measure of adjusted EBITDA to the nearest corresponding GAAP measures for fiscal years '24 and '25. Now, no matter which measure of adjusted EBITDA you use, however, we expect that IDT will deliver another strong increase in fiscal '26, building on our record fiscal '25 level. Utilizing this revised measure of adjusted EBITDA, IDT expects to generate a range of $141 million to $145 million in consolidated adjusted EBITDA for fiscal '26. Our estimate of $141 million to $145 million for fiscal '26, represents a 7% to 10% increase from fiscal year 2025 level of $131.7 million of similarly defined adjusted EBITDA, i.e., exclusive of noncash comp. I would just like to mention in closing that we filed our annual 10-K report today. Earlier this year, as a result of meeting, certain higher public float valuation metrics, IDT Corporation's SEC reporting status changed, to become a large accelerated filer. As such, we now have a shorter filing deadline period for our 10-K report, which we are pleased to comply with. Now operator, back to you for Q&A.
Operator: [Operator Instructions] First question comes from [ Inigo Alonso ] with [indiscernible] Capital.
Unknown Analyst: I have three, four questions, and I'll start with the money remittance business. The whole industry has been subjected to a lot of volatility. You have addressed the tax that is going to be starting next year. I was wondering what's the progress with the stablecoins and the Visa-linked wallets that you mentioned last call, since that has been one of the topics creating that volatility.
Samuel Jonas: Yes. As far as the wallets, we've actually already launched our wallet to some customers. I'll call it, it's in a beta phase right now. I think that over time, most transactions are going to happen using stablecoins. And I think a large portion of transactions that aren't spent right away will end up being stored in wallets using stablecoins, both because of volatility in currency, markets in certain countries as well as because of the cost and ease of moving funds in that manner. As far as how it's impacted us to date, I can't yet say that it's impacted us in any material way. But I think that it's definitely going to be a bigger part of our future and the money transfer business in general.
Unknown Analyst: Another one on this topic that I forgot to ask, what's the WhatsApp launch date?
Samuel Jonas: The WhatsApp launch, is that what you asked? It's also launching in the next couple of days. It's starting with only existing customers, and we expect to launch it to new customers, I would say, probably within 30 to 45 days after.
Unknown Analyst: Okay. And then the stablecoins, are you going to allow for those in your app in the future?
Samuel Jonas: Yes, 100%.
Unknown Analyst: Okay. Then switching slightly the subject, you have mentioned quite a bit a failed acquisition in the past. You also mentioned being very excited about the prospects that some of your competitors were offering and maybe the opportunity to acquire them. We have the acquisition of Intermex by Western Union this quarter. Both of them together is going to be nearly 50% of the money sent to Mexico in the retail space. Do you think there's going to be regulatory concerns, and this acquisition could be halted?
Samuel Jonas: I can't comment on that. I'm not a regulatory expert. So I don't know. I would suggest, if you have a question like that to ask your attorney.
Unknown Analyst: Okay. I'll ask another one on the subject. And have the M&A prospects for IDT have changed after what has happened this quarter? Or do you see still very attractive valuations in the market?
Samuel Jonas: I mean it's a complicated question to answer. I think that there are always new opportunities that come around. I don't think that the market for money transfer companies has improved over this past quarter in terms of where they trade as a general group. I think there definitely seems to be a large premium being willing to be paid for certain acquisitions. So I think it's a nuanced question that I don't exactly have an answer to.
Unknown Analyst: Okay. Organically, what are the main investments that you're going to make as IDT to grow your businesses this year? Those three, four, five items that are top of mind for you?
Samuel Jonas: Yes. I mean that's a very broad question, and we don't like to give too much guidance to competitors on how we are going to acquire customers better and cheaper than they do. So I will say that we will continue to spend wisely and creatively, to acquire customers at the lowest possible cost and with the highest benefit. And we're using all sorts of techniques to do those.
Unknown Analyst: Okay. And the last question, you mentioned something of -- in net2phone of changing from a seat model to a usage model. Is that going to be for UCaaS? Or is that going to be for the AI agent?
Samuel Jonas: I was more referring to the AI agents in general. I mean in terms of our UCaaS and CCaaS offerings, those will still be generally sold by the seat. And I was really referring to both our Coach service as well as our agentic services that we're offering.
Operator: Our next question comes from William Vaughan with Corient.
William Vaughan: Congrats on the good quarter. My first question is about NRS. In the prepared remarks, in the release, you mentioned a little increase in the rate of churn or the churn rate in terminals. Do you have an idea of what's causing this churn? And is it folks just switching to other providers, perhaps getting more competitive? Like any color you could give on the churn and other reasons behind it would be helpful.
Samuel Jonas: Yes. I mean, I would say that there are a couple of factors. Some of them are larger than other factors. I would say one thing is in certain small areas, like there has really been a big uptick in immigration enforcement and it's actually affected retailers in those areas to the point that they're closing. And those aren't really being lost to anybody else. Those stores are being lost because they're out of business. I would say, definitely, because we've had success in the market, more competitors have come out of the woodwork and have tried to often pretend that they can replicate our pricing and feature set. Most of the time, they deliver far less in savings and functionality to retailers than what they claim, but they do have strong sales teams in some instances that has led to churn. I mean we do our best to win those types of customers back because most of the time, they're very dissatisfied after a short period of time. I would say two other maybe more recent issues that we've had is one is with some of the card schemes being maybe, I'll say, a little bit trigger-happy on our merchants in terms of claiming that they're noncompliant with certain of the scheme's rules. And even though they're not fines that are levied by us, they do influence our retailers to think that it's us. And it's -- I mean, it's really an unfair thing to us, but it has hurt, I would say, churn. And then we also had some technical issues with some of the equipment that we were purchasing, and how it was interacting with our -- some of our service providers. We seem to have gotten it, I would say, 95%, 99%, something in that neighborhood, like under control over the past couple of weeks, but it definitely did lead to some spike in churn because essentially, like it was -- I mean, it's hard to go into really the technical reasons of why it was happening. But it was leading to some inaccurate like reporting and retailers sort of believing that the amount of money that they were expecting the next day was different than what they were actually receiving. Again, as I said, it's mostly solved, but it did lead to a little bit of extra churn.
William Vaughan: Just a little follow-up on one of those points. You mentioned new competitors. Would you say those new competitors are start-ups or legacy businesses, legacy players seeing the success you have, and creating a product to try to compete?
Samuel Jonas: Yes. I'd say it's a little bit of both. I mean, again, you're seeing the Clovers of the world pretending to be really good for convenience stores, which they're not. And you're also seeing some upstart companies that are, as I said, putting on a good, I'll call it, UI without really having much substance behind it, as I said, to try to convince retailers that they can do the same thing as we can, even though, as I said, that's usually not the case, and we can usually win those stores back.
William Vaughan: Awesome. Just another question. This would be on the BOSS Money business. So you guys have been growing really nicely in the past few quarters, 30%. And a lot of other players in the digital remittance space have been growing well also like taking share from the retail or the physical channel. Do you think that you guys can continue this strong growth? I mean that's a pretty strong growth rate. Is this something that you think can be sustained for a longer period of time? Or you think just naturally over time, it will sort of settle in of something a little bit more mature? I guess what are your thoughts on just the overall growth rate of the digital channel, whether that's sustainable or not?
Samuel Jonas: I would say a couple of things on it. I mean, I would say that, listen, there's no question that immigration policy in general in this country has shifted materially over the past couple of months. And that is definitely not a good thing for the remittance business, whether or not you're a digital remittance player or a retail player. You have effectively less customers choosing to live and work in our great country. And I think that there is definitely, I would say, a much more -- I don't know the right word, but maybe I won't even explain this one because I don't know how to explain it. But I mean, I think the other thing I would say is that I definitely think that it is becoming a more mature business. And probably because of that, it will grow less than it has traditionally. That being said, there are definitely factors that I think are going to help the digital business in the short term. And there's initiatives that we're doing, whether or not it's in wallets or WhatsApp or other things that we didn't talk about today, that are also going to enhance the growth of our business. And I think that all those things together, like I would say, I would probably -- if I were betting man, say that growth will slow a little bit, but not in a very big way. But again, I think there are things that we don't know yet, what those effects will be. I think when this tax comes into place, that's going to bring a lot of people that were going into stores, looking for a good alternative to send online. And while I don't think we're the only good alternative, I think we are definitely one of the best alternatives for customers to use. And I think that we will probably get more than our fair share of customers that are looking for a new solution, I'll say it, to save money on the tax. That being said, the tax is not as great as it once was planned to be. So it might not have as much of an effect as it could have had, had the tax come out higher than where it ended up coming out.
Marcelo Fischer: And Will, as you -- because of all the things that Shmuel said and the broader uncertainty around immigration, et cetera. So when we did the budget for this year, we -- as I mentioned in my prepared remarks, we budgeted that revenue would grow in the [ high teens ] for this year, okay? So time will tell as the months go by as to whether that is a good forecast or not. But from what we know at this point, it's a pretty good baseline for modeling growth.
Samuel Jonas: Yes. I'm usually slightly more pessimistic than Marcelo. But I mean, in this particular case, I'm slightly more optimistic than Marcelo. But we shall see in the results.
William Vaughan: Awesome. Last question. You mentioned looking at a potentially larger acquisition in the past quarter, where you'd use up a lot of the cash and possibly borrow. With that acquisition opportunity passing just because you're being thoughtful and disciplined on price, which I appreciate, do you -- are you focusing more on -- or where would you lean more towards? Smaller acquisitions which you can grow once integrated with more resources behind it, or more larger acquisitions, like the one that you were just looking at? Like where would you say you're leaning more towards in terms of opportunities in the market?
Samuel Jonas: I don't know if I would tell you which one I'm leaning more to. I mean, I would say that there's less large acquisitions come around that are -- that would meet our qualifications to do them than smaller ones. So if I were going to guess, I would tend to say that we will go for smaller acquisitions rather than larger ones. That being said, I think that we have a great team at IDT. And because of, I'll say, our prudence, we've sort of decided to double down on building more things internally and acquiring more customers organically rather than looking to do so through acquisitions. So in the short term, I would expect more of an investment to be made in our own efforts, which traditionally have served us, I would say, probably better than most of the acquisitions, although there are some acquisitions that we've done that have been very good.
Operator: [Operator Instructions] As there are no more questions, this concludes our question-and-answer session and the conference call. Thank you for attending today's presentation. You may now disconnect.